Operator: Thank you for standing by. This is the Conference Operator. Welcome to the Element Fleet Management’s First Quarter 2022 Financial and Operating Results Conference Call. As a reminder, all participants are in listen-only mode, and the conference is being recorded. After the prepared remarks, there will be an opportunity for analysts to ask questions. To join or rejoin the question queue, [Operator instructions]. Should you need assistance during the conference call, [Operator Instructions]. Element wishes to remind listeners that some of the information in today's call includes forward-looking statements.  These statements are based on assumptions that are subject to significant risks and uncertainties, and the company refers you to the cautionary statements and risk factors in its year-end and most recent MD&A, as well as its most recent AIF for a description of these risks, uncertainties, and assumptions. Although management believes that the expectations reflected in the statements are reasonable, it can give no assurance that the expectations reflected in any forward-looking statements will prove to be wrong or prove to be correct.  Element's earnings press release, financial statements, MD&A, supplementary information document, quarterly investor presentation, and today's call include references to non - GAAP measures, which management believes are helpful to present the company and its operations in ways that are useful to investors. A reconciliation of these non - GAAP measures to IFRS measures can be found in the MD&A. I would now like to turn the call over to Jay Forbes, President and Chief Executive Officer of Element. Please go ahead.
Jay Forbes: Thank you, Operator. Good morning to all of you joining us today. Frank and I will be brief with our remarks, affording us plenty of opportunity for questions and discussion. We entered this year with strong conviction. That with the return to pre -pandemic client activity levels and the gradual improvement in vehicle production by the OEMs, 2022 would be a good year for Element and would in turn set the stage for a great 2023. That conviction was evidenced in the two-year forward guidance we provided last November, which certainly was a first for this company, and indeed the first for me.  This confidence is born out of the extensive knowledge of the business that management has acquired, strengthening every facet of our business model through the 27 month transformation journey, stress testing and adapting that business model throughout the pandemic, rebuilding our commercial capabilities as we've pivoted to growth, and by devising novel approaches supporting our clients through the global vehicle production shortages. The last four years have provided us with a whole host of challenges that have deepened our understanding of our business.  And in particular, it's resilience through times of great uncertainty, and its ability to create sustainable value for shareholders through the generation of consistent predictable earnings and cash flow. With that said, the results for the last two years were good, had by virtue of a rare set of externalities underrepresented the true potential of this business model. For instance, we designed and built a robust operating platform that could deliver a consistent, superior client experience and scale to meet our organic growth ambitions only to see a 20% decrease in client activity at the onset of the pandemic that obscured the power of this platform to create meaningful value.  We rebuilt our commercial capabilities from the ground up to capture these organic revenue growth opportunities only to see tens of millions of dollars in revenue deferred when OEMs were unable to produce sufficient vehicles to match our sales wins. We knew that it was just a matter of time before what we as management saw so clearly was evident to all. With the release of these first-quarter results, and the upward revision of our 2022 guidance, Element’s power to deliver against our strategic ambitions is now on full display. We're growing vehicles under management, now approaching 1.5 million vehicles by stealing share and converting self-managed fleets.  We're growing service penetration using targeted campaigns to expand our share of wallet. We're increasing the utilization of these services as client activity returns to or indeed exceeds pre -pandemic levels. We're improving the profitability of these services by leveraging the scalable operating platform developed through transformation. And we're advantaged by inflation as our cost plus model benefits from increases in fuel, parts, and labor prices. This has in turn yielded first quarter performance that includes 6% net revenue growth quarter-over-quarter, 485 basis points of expansion in operating margin, and 16.6% AOI growth quarter-over-quarter, $0.29 of free cash flow per share, and 15.8% pretax return on equity.  Perhaps the only surprise for us in these results was the speed in which they arrived. While we knew that the overhang of the pandemic on client activity levels would fully recede and that OEMs would gradually source efficient semiconductor chips to restore their productive capacity and to grow our originations, we were less sure as to how these factors would play out in concert with our commercial successes and operational capabilities. Having never before enjoyed 2021 levels of commercial success, stealing other FMC's clients, penetrating the self-managed fleet market, and most of all, converting share of wallet opportunities, we underestimated the speed at which the business was capable of on-boarding and activating this many new vehicles under management, and this meant a new client service additions.  Simply put, great people supported by transform processes and systems, convert revenue unit wins into revenue growth in record time. And given the recurring nature of these leases and services, the revenue levels we achieved in the first quarter are sustainable through 2022 and beyond, prompting us to increase this year's guidance. Our bullish outlook for 2022 is further bolstered by two additional observations. Firstly, everything we've seen over the last six months has been reinforcing of our thesis of a gradual return to full OEM production by mid-2023 resulting in 10% to 14% year-over-year growth in our originations, on-route to some 37% to 47% year-over-year increase in 2023.  We're holding guidance onto originations cost in the $5.5 billion to $5.7 billion range, with any unforeseen downside risk arising from China lock-downs or geopolitical issues being offset by larger-than-expected price increases in model year '23 vehicles. Secondly, the drivers behind our surge in service revenues have likes. Having never before managed fleets through a 24 months global pandemic, we didn't know exactly how or when the recovery in client service utilization would transpire. Today, we can safely say that recovery has arrived. Service fleet vehicles are playing catch-up on lost productivity during the lowest mobility phases of the pandemic.  And sales fleets are now back on the road with regularity, with a corresponding consumption of applicable services. Further substantially longer wait times for replacement vehicles have resulted in the oldest average age of fleets in our history. This vehicle aging is driving more frequent and higher costs maintenance, as well as greater fuel consumption. And with OEM production capacity showing no signs of deviating from the recovery trajectory that we're anticipating, we expect that we will have well over a year of continued older vehicle service utilization ahead.  Finally, the penetration and utilization driving service revenue growth are going to be further propelled by inflation. I addressed this in -- as a topic in my letter to shareholders this quarter, and so I won't be overly repetitive here. Suffice it to say, I don't think many of us predicted inflation taking root this quickly, and impacting costs this drastically within the first few months of 2022 alone. Element's value proposition to lower clients total cost of fleet operations becomes even more compelling in this environment, and our cost-plus business model also benefits, most of which are sustainable tailwinds.  I believe Element is a rare example of a business where net revenue benefit both directly and indirectly from inflation, and to a greater extent than our operating expenses will be impacted. This is yet another salient characteristic of the truly special business model that we enjoy here at Element. With that, I'll turn things over to you, Frank, to discuss a few particulars of the first quarter and our revised full-year 2022 guidance.
Frank Ruperto: Thanks, Jay. And good morning, everyone. As promised, I'll be brief and then we'll open up the line to your questions. I want to reiterate that our Q1 results were not only strong, but also demonstrate the capability and resilience of our scalable business model and the value proposition we bring to clients in these ever changing times. First-quarter net revenue was up 4.9% year-over-year and 6.2% quarter-over-quarter Net financing revenue contributed to that growth, itself growing 3.7% year-over-year, and 7.4% quarter-over-quarter. As you saw in our supplementary, gains on sale or gross from ANZ in Mexico continue to outperform their prior period contributions to NFR.  Although we expected this to moderate in our previous outlook, it hasn't happened. The current OEM constraints and shortages of vehicles in the regions where we take residual value risk, continue to ensure a very strong secondary market. We continue to move lower than normal volume due to pure vehicles being returned to us, but at very high prices. The return of OEM supply to normal levels will moderate these gains over time. However, with new, more new vehicles, we will also have more end-of-lease vehicles to work with and we expect demand to remain healthy for the foreseeable future.  I want to complement our teams in AMC in Mexico on the work they've done to diversify their used vehicle sales channels in each region. This diversification work alone generates better price realization. Combined with undersupply, this diversification will help keep [Indiscernible] strong for full-year 2022 relative to prior years, including last year. With respect to capital-light services revenue, Jay identified the buckets driving [Indiscernible] growth, which I will reiterate as penetration, utilization, and inflation. You can see in our supplementary how each of those contributed to services revenue growth of 15.2% year-over-year, and 6.6% quarter-over-quarter for Q1. The same three factors are going to keep services revenue healthy and growing for the foreseeable future, advancing our capital-lighter business model and enhancing ROE.  Syndication is the second for us to back capital-lighter model, and we've written and spoken a lot in the last two quarters about the incomparable contributions of Syndication to our regrowth and return of capital strategies. Syndication revenue decreased materially in Q1 year-over-year, which was as planned. We had pulled forward volume into a very strong Q1 of last year, but did not anticipate or have a repeat of that experience. We have a more balanced quarterly volume of syndication planned for this year. Briefly, on adjusted operating expenses in Q1 and this year as a whole, we saw sequential moderation in salaries, wages, and benefits in the first quarter, as we continue to increase efficiencies.  However, as signaled in our MDA, that line item will step up modestly next quarter as 2022 merit and pay equity driven compensation increases impact the whole quarter versus only the month of March in Q1. For 2022, adjusted operating expense will grow. We're not immune to inflation or the increased cost of returning to business as usual that include, for instance, travel and promotional spend. The fundamental premise of our scalable operating platform is that net revenue can and will outgrow OpEx, expanding operating margins over time. I would also flag the reality that we are operating with a cost base supporting materially more business volume than we are seeing hit the top-line due to the OEM production delays and the deferral of significant revenue, operating income, and free cash flow into future quarters and years.  Lastly, considering the sustainable trends in our Q1 results, as you'll have seen in our disclosures, we've revised our guidance for full-year 2022. We anticipate growing annual net revenue 4% to 6%, and our scalable operating platform magnifying that into 4.5 to 7.5 adjusted operating income growth, implying a 52.5% to 53.5% operating margin. We anticipate 9% to 14% adjusted EPS growth in 2022 and an effective tax rate of 25.5% to 26.5% and weighted average common share count for the year between $390 million and $400 million shares. Similarly, we expect free cash flow per share to grow 10% to 15% to a $1.16 to a $1.21 per common share for the year.  All of our guidance is in constant currency. We have not revised our 2023 guidance. We will do this later this year and share with you. However, we believe are strong Q1 results and increased 2022 guidance materially de -risk that existing 2023 guidance. In particular, because the broad-based strength we're seeing in Q1 was not envisioned or factored into the 2023 guidance put forward last year. We will be reviewing that 2023 guidance as we move forward and we'll provide an update later in the year. With that, Operator, let's please open the line for questions.
Operator: Thank you. We will now begin the analyst question-and-answer session. In order to afford all analysts the opportunity to ask questions, Element kindly request that analysts limit themselves to two questions in live dialogue with management. Should an analyst have additional questions, please rejoin the queue. [Operator Instructions] The first question comes from Geoffrey Kwan with RBC Capital Markets. Please go ahead.
Geoffrey Kwan: Hi, good morning.
Jay Forbes: Good morning.
Geoffrey Kwan: My first question was, Jay, since you reported the Q4 '21 results, what would be the incremental data points you've gotten in terms of the return to normalized OEM production levels and what have you heard that gives you may be a bit more optimism and conversely, anything that gives you a little bit more concern around that trajectory? I know you talked about the overall trajectory, I think is staying the same as what you're seeing, but just wondering if there's incremental data points on both sides.
Jay Forbes: Yeah. I think there are a number of incremental data points since announcing our guidance for 2022 and 2023 last November. We finished the Q4 stronger than we anticipated at higher production levels and thus higher origination levels than what we had anticipated. So while Q4 was indeed a trough for OEM production, it wasn't as deep a trough as we had originally envisioned. Secondly, our thesis had Q1 being a material step-up from Q4 in terms of quarter-over-quarter increases in production volumes and in continuity of productions by each of the major OEMs, and that played out very well in terms of Q1 than the origination results.  And as we just wrapped up April, another month of data points that were encouraging and reinforcing our thesis. So as we think about that original hypothesis and how it was going to play out everything that we have seen to date is consistent with that thesis. And thus, we expect a full recovery of productive capacity by the OEMs by mid-2023, and as a consequence, at their ability to start to draw down this very large order backlog that we have built. We have not seen, in essence, in terms of the European conflict or the shutdowns in China manifest themselves in any decrease in either year-to-date production or production outlook.  But obviously those are factors that are wildcards and no one can fully understand their implications. The comfort that we derive as an offset to that is, we are expecting price increases in model year '23 vehicles that will be in excess of what we would have projected as part of our planning for 2022 and 2023. And so to the extent that that holds and there is any headwinds coming out of the macroeconomic or geopolitical situation, then again we believe that there are sufficient opportunities in terms of price increases that would offset that. So feeling very bullish in terms of that $5.5 billion to $5.7 billion of originations perhaps for calendar year 2022.
Geoffrey Kwan: Thanks. And just my second question was, with the increased '22 guidance, but keeping in the 2023 unchanged. So I guess is the way to think about this, it's if you continue to execute on your growth strategy; is it more likely that there would be upside as opposed to downside to your 2023 guidance?
Jay Forbes: Very much so. So the revenue growth drivers that we're seeing in the model, and in particular on the Services side, these are services that are both be taken up new service -- taken up by our clients, and higher utilization of those services. And then when you mix in the inflation component that we expect to see throughout 2022, again, we're building a base of service revenue that should exit 2022 at a level in excess of what our expectations would be. And so we will enter 2023 with a higher jump off point than what was originally anticipated when we offered up 2023 guidance back in November of 2021.
Geoffrey Kwan: Okay, great. Thank you.
Jay Forbes: Thank you.
Operator: The next question comes from John Aiken with Barclays. Please go ahead.
John Aiken: Good morning, Jay. In terms of taking a look at the order backlog, I know remaining flat is far from a reason to panic. Are we expecting on a go-forward basis as the OEMs ramp up production, are we expecting the backlog to drop off a little faster than had previously been anticipated. And as well, can you talk about, I guess the shadow backlog in terms of the orders that are out there that can't be placed with the OEMs. How is that looking since the fourth quarter?
Jay Forbes: Good morning, John. And -- when we think about order backlog and the continuity of that balance issue, rightly identified two critical factors, supply and demand. Maybe I'll speak to demand first. And demand continues to be robust as we've gone out to our clients, guided them in terms of the order banks being opened by the OEMS this month and continuing through June and July, helping them understand their VO from these, get their orders in the queue. So thinking of first call on the productive capacity that is going to be opening up with model year '23 has been a full-court press here over the last couple of months.  And I will tell you, even in the face of potential, meaningful price increases in the vehicles, there's been no hesitation whatsoever in terms of our client base and putting forth orders who are in desperate need of replacement vehicles. Those are the in service of longer to consuming, again, excessive amounts of maintenance and gas and risking downtime are very costly aspect of fleet operations. So as a consequence of all those factors, we're seeing demand very strong. No relenting in demand from the client base whatsoever from what we would've expected back in November. And we saw that in terms of basically a flat quarter-over-quarter order backlog of $2.9 billion, even despite the originations that versus stronger than perhaps we had expected.  On the supply side, in referencing the answer that provided Geoff, again, all the data point set we are seeing or upholding the thesis of, yeah, this will be a $5.5 billion to $5.7 billion year originations. And again, while we don't see much in the way of risks to that at this point in time, some potential upside comes with the model year '23 price increases that we're now being guided to. So I'm feeling very good about the order backlog. And again, it will vacillate. It wouldn't surprise us in Q2 to maybe have a slight pull down on that as the order banks open up later in the quarter and originations are strong through the quarter. That said, if the OEMs open up those order banks a little earlier, we might be able to see sustained order backlog or maybe even an increase. It just really depends. The pivotal factor here is really the timing. There was order banks being opened by the OEMs. Demand remains strong, and delightfully, production is increasing.
John Aiken: Great. Thanks, Jay. And for my second question, Frank, thank you very much for the vehicles under management's disclosures. It's going to be helpful. I understand that this is a moving forward metric, but can you give us a sense, because when we look at the dollars per vehicle under management in terms of both revenue and operating income, obviously, we can see the leverage that is there, but the leverage that we saw on the operating income per vehicle this quarter, was this unusual or is this a trend that you've been seeing that will last for a while?
Frank Ruperto: Yes. So again, it is a new metric for us. And so we're growing into our skin on this as well as you, and taking the learnings that we're finding from this new metric as is. I don't believe it is a surprise that as you look at your vehicles under management, and we see the type of share of wallet gains that we have benefited from. By definition, share of wallet is going to increase your revenues per at least that existing base of vehicles that are there as we move forward here. It will depend on how quickly we onboard new clients and new vehicles, and what the level of services are on coming into that from a proportional basis as we move forward. But again, I think it gives us a great opportunity to measure those share of wallet penetrations. And I anticipate seeing that statistic being a metric that we can help the analyst community and the investor community really measure the growth and the profitability of the business.
Jay Forbes: And Frank, if I could build on that, the other piece of this is utilization. So when we think about that VAM and revenue program, certainly got a big boost in terms of service revenue as we had increased penetration, increased utilization and increased inflation. And so John, some of that step-up was absolutely getting back to a 100% plus transaction volumes. And I referenced us in my CEO letter to investors this quarter that as we reflected on the Q1 results and reflected on the journey of transformation. I mean, it was predicated on building the scalable operating platform. We were halfway through that transformation journey, and we had 20% of our transaction volumes basically evaporate overnight, with a shelter in place, stay at home mandate adopted throughout our five geographies.  And so it has been a patient journey that we've been on these last two years, as we waited for a return to normal levels of consumption and activity within our client base. And that's what you're seeing in part in terms of this big increase in revenue per vehicle under management, is that restoration of normal utilization. And as Frank has pointed out, this has always been about creating a scalable operating platform that will be able to adjust that 4% to 6% annual revenue growth without a commensurate increase in costs, and its ability to do so will be reflected in that adjusted operating income per vehicle under management as we go forward.
John Aiken: Great. Thanks, guys. I'll re-queue.
Operator: The next question comes from Jamie Glynn with National Bank Financial. Please go ahead.
Jamie Glynn: Good morning. I wanted to stay on the vehicles under management disclosure. And looking at the breakdown, serviced only vehicles showing pretty rapid growth over the last couple of quarters, but serviced and financed are fairly flat. So wondering if you could give us a little bit more color as to what's driving that, I guess dislocation between the two [Indiscernible]?
Jay Forbes: Good morning, Jamie. And in terms of vehicles under management and this initial disclosure that we provided, I will note that there is a goodly amount of service only vehicles under management there. Think about that maybe as two segments. The first being a little under half of that would be represented by clients that only consumes services for the vehicles, but these are clients that we actually do finance other vehicles with. And this is not a typical, for instance, in our Mexico business unit where we will get a toehold in terms of the financing business, but they will provide us with full mandates in terms of services for the entirety of the fleets, and we'll earn our way into the other aspect of the financing business. The other, slightly more than half, would represent basically service-only clients.  These would be large clients that have their own ready access to cost-effective financing, decided to keep those assets on-book, and rely on us only for manage maintenance, manage fuel, manage accidents, title registration, and other services of that nature, and Armada would be a perfect example of that. And then, if we step back and say, okay, we should look at that services versus services and financing versus financing only, you come back to the second core tenant of our strategy, that being a capital lighter business model, and a desire to go deeper in terms of services as a growing and greater representation of our revenue. As we go forward, we -- services recognized in a low capital intensity associated with the do something that we have a strong bias in terms of our pursuit, and it's evidenced in terms of the results you're seeing in the [Indiscernible] under management.
Jamie Glynn: Okay, great. Thanks for that color. Second question was on the order backlog, I would've expected this quarter with most of the books closed. The fact that remained flat, is that an indication of your clients shifting their orders from one OEM perhaps to another, and trying to just prime their pump that way? And with that comment, I understand that some books are open already for the 2023 model year. Can you give us any color as to what level of price increases have been pushed through on those books that have opened?
Jay Forbes: We would have shared the -- kind of the same view going into Q1. We would have thought with plus or minus 85% of the order banks closed, that our shadow order backlog would have been building, but we would have been unable to place those orders. As it turns out, the mix of orders that we needed to place actually meshed well with the 15% order banks that were open. A few order banks that we're supposedly closed were actually open. And so as a consequence, we were able to place more orders than what we'd anticipated. Secondly, we do also work with a few large clients that are very acquisitive in nature. And they have bought companies recently.  And as they buy those companies, and -- they immediately turn over the fleets to us and we will do a sales-leaseback on those and that will be source of originations for us. And so that also help bolster Q1 originations. And absolutely in terms of shifting demand, if we -- someone has a need for light-duty pickup and Ford order bank is closed, GM was open, then absolutely we will shift that demand from one OEM to another to ensure that vehicle is manufactured and delivered on a timely basis. So a lot of different things coming into play. But in the end, demand was incredibly robust. Very pleased with what we're seeing in the shadow order backlog and eagerly awaiting the opening of the production order-backs; at the end of the month we have a couple of very important ones including GM's Silverado and Sierra pickup, which is a mainstay in our fleet. So that open slate to this month and we've been building demand to place those orders in the order bank as that opens up.
Jamie Glynn: And sorry. Are you able to help us think through what level of price increases are coming through on these 2023 model years that have opened up?
Jay Forbes: Again at this point in time, 1. We believe that it will vary and perhaps materially by model. 2. It will impact not only MSRP, but also the purchase discounts that we've been able to secure for individual clients, and so we would expect higher on the former, lower on the latter, and so. And it will vary from model to model, but we're hearing NSM is in the range of 5% to 10% increase in vehicle pricing for model year '23. Again, we will give you some additional color on that when it becomes obvious to us and to say the least, for eagerly looking forward to some of these order banks opening up into to see what's on store in terms of these price increases.
Jamie Glynn: Thank you very much.
Jay Forbes: Thank you.
Operator: The next question comes from Paul Holden with CIBC. Please go ahead.
Paul Holden: Thank you. Good morning. So you provide a geographic segmentation of revenue growth and that shows that all of your year-over-year revenue growth was generated by Mexico and ANZ. So [Indiscernible] us on the North American piece in terms of when we should expect the revenue growth to resume, and what are the key drivers to get that revenue growth positive again?
Jay Forbes: Good morning, Paul. In a nutshell, OEM production ramping back up. That is the only thing holding back North America on the services front. David Madrigal and the commercial team have just been throttling it in terms of share of wallet wins within our existing client base. They've been aggressively stealing share, converting self-managed fleets, and all the while maintaining or bettering industry average in terms of retention. So in terms of the leavers for revenue growth, they're all in place, they're all being pulled. The piece that is missing here is we can't deliver against the [Indiscernible] opportunity given the shortage of vehicles that are being constrained by OEM production delays. So as the OEMs ramp up that production and we're able to fulfill the orders that have been taken -- earned in 2021, in Q1 2022 you can expect to see both the revenue cash flow profile of … reflect the underlying revenue-generation efforts that have taken place. And unlike ANZ, where they've endured great vehicle shortages; obviously, we take no residual value risk in North America we do in ANZ.  That has been to our advantage with this unique circumstances as that shortage of vehicles that have constrained NFR for them has been offset in ANZ by the gain on sales. We just don't have that same opportunity in Canada than U.S. In Mexico, again, very different marketplace, and vehicles were much more readily available. They were slower to come. They saw their cycle time expanded from order to origination, but nowhere near what we saw in the U.S. and Canada, and as a consequence, they were able to basically fuel the engine of growth that they have put in place with deliveries in keeping with historical norms. So it is really that simple. The services side of it we couldn't be more pleased with the penetration, utilization, the inflation that we're seeing driving the U.S.-Canadian service revenue, and honestly, couldn't be more pleased in terms of the sales wins. They're just not translating to revenue because they're being deferred.
Paul Holden: Got it, thank you.
Frank Ruperto: Jay, I'd just add two quick points to that. When you look back in Q1 '21, and this was referenced in my commentary earlier in the call. We pulled forward significant syndication volume in Q1 of last year because of the strong market, roughly differential of $9.3 million. And we also had a release of the provision for credit loss of $3.7. So if you were to normalize that Q1 '21 number for those two -- those two items, you would actually see some material growth in the U.S. market.
Paul Holden: That's helpful. Thank you. So second question. I'm going back to credit provisioning. There's a very broad concern in the marketplace over the potential for recession, and let's just call that a 2023 recession for argument sake. We haven't really seen Element as a public company go through what I'd call a regular recession, pandemic was unique in nature. It'd be very helpful I think to get your thoughts around how your 2023 guidance might be impacted if we go in to sort of a traditional recession next year. Not necessary, putting exact numbers behind it, but to what extent might it toggle the EPS?
Jay Forbes: Not materially. So I would argue that the pandemic is actually a great example of an early and vicious onset of our recessionary period, come March of 2020, I mean, everything came to [Indiscernible] help, the Capital Markets ceased up. And if you could get financing, it was that ridiculously high pricing and yet we maintained ready access to multiple funding sources, including securitization syndication in the U.S. bond market, and at reasonable pricing, so ready access to capital. Secondly, what we discovered with the model is in times of recession, depth, economic downturns, we actually increased the velocity of our free cash flow as our working capital position monetizes.  And so we actually have cash accretion and a recessionary period as opposed to cash utilization. So from a balance sheet point-of-view, no issue. We stress test the portfolio going into the pandemic. Again, that shock you saw, minuscule in terms of basis points of credit losses, through that period the portfolio was performed and had performed beautifully. So from a balance sheet point-of-view, ready access to capital stress tests the assets and everything held up wonderfully. Then, as we think about the income statement in revenue, again, our proposition as we reduced the total cost of operations of our client's fleets by using our scale. As these organizations would enter or stay under your hypothesis of 2023 recession, they'll be looking at for cost-out opportunities.  Our ability to use our scale to help them be more productive in terms of the management and operations of the fleets, I think offers a very, very good value proposition. Further, we have 5500 clients across 700 industries, so we're not overly exposed to any one industry or a segment. And then, again, if you think about the nature of the underlying services and the ability to reduce that total cost of ownership through managed maintenance, managed fuel, managed accident, again, each of them has strong value as organizations look to reduce their costs and maintain an optimal cost structure going into a recessionary environment. So we feel very good about the business model, both on the balance sheet and the income statement in terms of its ability to continue to perform very well, even with the onset of a recessionary environment.
Paul Holden: Sorry, I've got to ask a follow-up. If I think about those impacts, then do you think it's fair to characterize that guidance range that maybe if you get a recession, maybe be more at the lower end of the range, but still within the range, will that be a relatively fair characterization?
Jay Forbes: Yeah. We'll look it into 2023 guidance, for this call we gave you an update in terms of 2022, we'll bring forward guidance in 2023 later this year. And at that point in time, we'll factor in the very positive momentum that is built here in Q1 that is underpinned, I'll look for an even better 2022 and will offer up some thoughts in terms of our view as to 2023, the likelihood of a recession in markets that we're dealing with and how that might impact the look for 2023.
Paul Holden: That's great. Okay. Thank you.
Jay Forbes: Thank you, Paul.
Operator: The next question comes from Tom MacKinnon with BMO Capital. Please go ahead.
Thomas Mackinnon: Yeah. Good morning, and thanks for taking my questions. The first is with respect to the merit and pay equity increases that came into effect in March 1st of 2022. Just for modeling purposes, how should we end -- you mentioned there's a step-up in OpEx in the second quarter as a result of this. Just for our modeling purposes, how should we be looking at those pay increases and how did they compare with the inflation?
Frank Ruperto: Yeah. This is -- what I would tell you is the best way to do that is that first of all, in comparison to inflation. I think they're relatively in-line. Merit plus pay equity, etc. relatively in line with inflation. We pay our people fairly, and we've got great people onboard. In regards to modeling, the best thing that I can point you to is look at the operating margins we've put out in our revised guidance, and look at the revenue growth that you have there. And then you can discern what total OpEx is. We've given some guidance before about depreciation, how that steps up year-over-year as we'll start to navigate that component of it. But that margin will allow you to dial-in based on your perspective where within that margin our operating expenses will fall, and that's the 52.5% to 53.5% adjusted operating margin.
Thomas Mackinnon: Okay, that's great. And just can you quickly remind us about the depreciation step-up year-over-year. That's going to run faster than the rest of OpEx, is that correct.
Frank Ruperto: It's going to run faster because if you remember, it didn't step up till year -- till Q3 of last year, so we'll get the full impact of that plus a bit more. So call it in the $8 million range.
Thomas Mackinnon: Great. And then, the second question is with respect to the gain on sale we see in Mexico, and I guess Australia and New Zealand in particular. If I look at Australia and New Zealand, do you think it was a little bit higher than anticipated? We had some seasonality there, there's some extreme weather events. How would you characterize the first quarter for gain on sale, particularly in that region, and would we anticipate something even higher than that in the second, third and fourth-quarter. My guess is, this one is probably a little bit out sized, at least in terms of Australia and New Zealand, the first quarter numbers in terms of gains on sale that is.
Frank Ruperto: Yes, so we continue to see that strengthening despite the fact that, as we said earlier, our outlook for this year when we put our guidance in place was for a bit of a moderation on that ANZ gain on sale component of it. We believe that the gain on sale has some legs for two reasons, one is obviously the demand remains high and some of the weather events that destroyed roughly 25,000 vehicles over there have increased the demand for the used vehicles there, and then, compiled with the lack of OEM new product coming in. So two things that I think will give our ANZ and our overall [Indiscernible] legs here. And I'm going to say higher or lower, but strong are: 1. That demand that we see, which will continue in the lack of supply, 2. Is as the new model years come out, the price increases that we will see on those model years will obviously underpin higher used vehicle prices. And then thirdly, eventually, when those OEM originations begin to show up in greater quantity, we will have more vehicles to sell into the used vehicle market. So we will see first a shifting of price, but an increase in volume, which should help protect that gain on sale for some period of time.
Thomas Mackinnon: Okay. Thanks.
Operator: The next question comes from Shalabh Garg with Veritas Investment Research. Please go ahead.
Shalabh Garg: Thank you, and good morning. So I look forward back to your utilization rate, seems like [Indiscernible] it’s the most majority of the growth in utilization rates. Do you think is there any further dark from your utilization now.
Jay Forbes: So utilization was a big contributor to this, I don't want to underplay penetration and inflation played a role as well. But utilization was an important part of this and it was really kind of twofold. So one was that final return to normal consumption levels by both service and sales fleet to pre -pandemic levels; and then it was the utilization that came as a consequence of, 1. The growth in the vehicles under management throughout 2021 and the increased consumption maintenance in particular, but also accident services, long-term rentals, and other services that we provide that had even more value as a fleet becomes more agent. And so as we think about that dynamic throughout the remainder of this year and into 2023, to the extent that we continue to have vehicle shortages and aren't able to originate normal levels of vehicles deliveries then yes, we're going to have increasing utilization of these types of services by these older vehicles until they ultimately get replaced.
Shalabh Garg: So once we are past the backlogs, and when the OEM production normalize, the majority of the growth in utilization would come from higher [Indiscernible] management, right. Am I getting this right?
Jay Forbes: Yes. Once we are back to normal levels and we have replaced these fleets, and we're back to our average 41 months of average amortization, then yes, we would expect that prevalence of maintenance and continuing maintenance would step back down to normal levels. Obviously at higher price points given the inflation that we anticipate will happen. At the same time, remember, as those service revenues return to normal, those service revenues that are being held back will also return to normal. And think, for instance, remarketing. So right now by virtue of fewer vehicles being originated, we have fewer vehicles being sold and so we're not able to earn the remarketing fees on those vehicles for our clients. So expect as utilization returns to normal for some of our services, utilization will also return for normal for other VAR services that are underutilized given the production shortages, and that will counterbalance any degradation in service revenue.
Shalabh Garg: Okay. That's helpful. I just wanted to get a sense on the outlook on NCIB, given the redemption of the [Indiscernible] shares [Indiscernible] that's expected in this quarter. So do you expect to -- based on the guidance, it's like 390 million to 400 million shares outstanding by the end of the year. So which is approximately too enough percent of the turning shares? Do you expect to fulfill that or is there anything that can hold you back from hitting those targets at the lower end of that range?
Jay Forbes: No, we expect to be able to fulfill that. And obviously redeeming the pref share in the next month, I guess, a $150 million pref share has been kind of the stuff that we've held out just [Indiscernible] that we wanted to target in terms of reducing our overall cost of capital, and so we will divert moneys that we would've otherwise used to buyback common shares to retire those pressures, and otherwise are holding to that 390 million to 400 million share count for the year.
Shalabh Garg: Okay. Thank you, that's helpful.
Frank Ruperto: And I would just point out that's an average share count for the year. So obviously to hit 390, we would be below -- materially below the 390, etc.
Shalabh Garg: Okay. That's actually helpful. Thank you.
Operator: The next question comes from Mario Mendonca with TD Securities. Please go ahead.
Mario Mendonca: Good morning. Jay, it sounds like things are functioning really well, maybe a little bit ahead of plan. It strikes me that as OEM production increases and originations increase, the need for funding will obviously increase. Are you seeing anything on the funding side or what can you tell us about funding right now? Number one, markets appear to be really strong and open, but we are seeing LIBOR start to increase fairly meaningfully. What do you feel about funding right now and EFM's capacity to pass on the higher cost of funding, particularly when funding demands really start to ramp up later this year?
Jay Forbes: Go ahead, Frank.
Frank Ruperto: Yeah. So Mario, what I would tell you is remember our business model is effectively interest rate agnostic. That means that when we originate a new lease vehicle, that origination pricing is underpinned by the current market rates that are -- that are in effect at the time. And so as we fund those simultaneously to those originations or roughly simultaneous to, we then have that maxed funding that we talk about in all of our disclosures as we move forward here. The one thing I would say is we do see ample funding capacity in the market for us through all of the vehicles that we have explored and currently utilize. Additionally, we continue to see a strong syndication market, which again, not only allows us to de -lever, but it is a funding source as we cycle that cash back through the business to then go do future originations.
Mario Mendonca: So is it your view then that the environment is such that EFM can pass on all of the increased cost of funding? There's no need to absorb because there have been scenarios in the past where companies have had to absorb some of the increase in funding costs. It seems like your view is there's more than sufficient capacity to pass those costs on.
Jay Forbes: That is correct. No issue there whatsoever, and in conversations with our clients as we queue up the 2023 model year and socialize, what we expect to be meaningful MSRP increases and associated interest rate increases, again, the clients understand that and there's been no diminish in trust in placing those orders. Demand remains very strong. So we -- again, the model is designed that we, as Frank said, are agnostic in terms of interest rates up or down for us for this match funding, [Indiscernible] has served us very well, something that we managed to religiously.
Mario Mendonca: Okay. One quick follow-up then, more of a modeling question. I understand that gain on sale was strong this quarter and that you see it continuing somewhat. Were there any other unusual fee or net financing revenue, or other sort of revenue items that came through that were lumpy or unusual this quarter? And I'm asking because these moves are meaningful and I want to make sure I'm modeling this out appropriately.
Frank Ruperto: Yes, no. Nothing that I would say is materially unusual in the quarter that isn't underpinned by the overall strength we're seeing in utilization, we're seeing in the marketplace, and the delay in certain OEM deliveries.
Mario Mendonca: Okay. Thank you. I appreciate your help.
Operator: [Operator Instructions]. This concludes the question-and-answer session. I would like to turn the call over to Mr. Forbes for any closing remarks.
Jay Forbes: Just to say, thank you. Appreciate you joining us today, and look forward to our follow-up discussions.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.